Operator: Good day, and thank you for standing by. Welcome to the Philip Morris International 2024 First Quarter Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, James Bushnell, Vice President of Investor Relations. Please go ahead.
James Bushnell: Welcome. Thank you for joining us. Earlier today, we issued a press release containing detailed information on our 2024 first quarter results. The press release is available on our website at pmi.com. A glossary of terms, including the definition for smoke-free products, as well as adjustments, other calculations, and reconciliations to the most directly comparable U.S. GAAP measures for non-GAAP financial measures cited in this presentation, are available in Exhibit 99.2 to the company's Form 8-K dated April 23, 2024, and on our Investor Relations website. Today's remarks contain forward-looking statements and projections of future results. I direct your attention to the forward-looking and cautionary statements disclosure in today's presentation and press release for a review of the various factors that could cause actual results to differ materially from projections or forward-looking statements. I'm joined today by Emmanuel Babeau, Chief Financial Officer, and Jennifer Motles, Chief Sustainability Officer. Over to you, Emmanuel.
Emmanuel Babeau: Thank you, James, and welcome, everyone. In Q1, we delivered outstanding performance that exceeded our expectations with double-digit growth in organic net revenue and operating income, as well as currency-neutral adjusted diluted earnings per share, all supported by robust volume growth. Excellent smoke- free business momentum continues with plus 25% organic growth in net revenues and plus 38% in gross profit, as IQOS operating leverage and ZYN mix contribute positively. IQOS continues to advance rapidly, with growth of 13% in adjusted in market sales volumes and plus 21% in shipments. IQOS ILUMA is a key driver of this progress and is now available in 64 markets, representing nearly 100% of IQOS volumes outside Russia. ZYN also continued its considerable growth in Q1, with U.S. volumes up plus 80%. Importantly, this top-line performance translated into strong operating income growth and margin expansion, both organically and in dollar terms. This was notably driven by accelerating profitability in both our IQOS and ZYN businesses, in addition to improving combustible performance. We faced higher-than-expected currency headwinds in the quarter, primarily due to the devaluation of the Egyptian pound. We are taking mitigating actions including additional pricing and accelerated cost initiatives, which allowed us to deliver Q1 adjusted diluted EPS above our prior expectation, despite these pressures. While the prior year quarter was favorable for certain growth comparisons, this exceptional start to the year sets the stage for us to deliver significantly better-than- expected 2024 currency-neutral growth, and robust growth in U.S. dollar at prevailing rates. Turning to the headline numbers, very good shipment volume growth of plus 3.6% supported organic top-line growth of plus 11.0%, or plus 8.6% including currency. This reflects continued excellent IQOS and ZYN momentum as well as strong combustible pricing. Operating income grew by plus 22.2% organically versus a softer prior-year quarter, notably driven by gross margin expansion and a deceleration in SG&A growth. As a result, our organic OI margins expanded by plus 3.7 percentage points. In dollar terms, adjusted OI grew by plus 11.3% and adjusted OI margins expanded by 90 basis points. We outperformed our Q1 adjusted EPS outlook due to three main factors. The first is the net revenue and profit impact of better volumes following the industry-leading performance of ZYN, the strong shipment growth of IQOS HTUs including some higher-than-expected timing benefits, and a resilient combustible delivery. Second is the benefit of our pricing actions to mitigate currency headwinds and third is on cost including some timing benefit and a stepped-up focus on manufacturing and back office efficiencies to prioritize growth investments. The majority of the outperformance was driven by underlying business dynamics, which bodes well for the remainder of the year. Indeed, we delivered adjusted diluted earnings per share of $1.50, representing plus 23.2% growth excluding an unfavorable currency impact of $0.20. This includes $0.09 from the devaluation of the Egyptian pound, including a transactional impact of $0.06 primarily related to the balance sheet remeasurement of foreign currency payables. With increased liquidity in the Egyptian pounds, we are now reducing our balance sheet exposure, and this should be complete in the coming weeks. Focusing now on volumes, our Q1 HTU shipments of 33.1 billion units exceeded our outlook, with robust underlying growth across geographies and a higher-than- anticipated timing impact of shipments to Japan. The incremental phasing impact was around 1 billion units and was primarily related to Red Sea disruption. While uncertain, we assume this will normalize in the second half of the year. As mentioned previously, we believe the best indicator of underlying HTU growth is adjusted in market sales, as the closest metric to consumer offtake. Adjusted IMS volume grew nicely by plus 12.5%, including the expected impact from the characterizing flavor ban in Europe. We continue to see strong IQOS momentum, with excellent growth in Japan, robust underlying fundamentals in Europe, and a growing contribution from newer markets such as Indonesia. We continue to target plus 14% to plus 16% adjusted IMS growth for the year, with around plus 10% growth in Q2 followed by an H2 acceleration driven by the timing of commercial programs, ILUMA uptake, newer markets and a less demanding prior year comparison. Total smoke-free volume growth of plus 22% includes the impressive expansion of our oral smoke-free portfolio powered by ZYN, with pouch equivalent shipment volumes up by plus 35.8%. U.S. ZYN shipments grew by plus 80% to 132 million cans. Cigarette shipments declined by a modest 0.4% in the first quarter, with a notable positive contribution from Turkey as we increased share in a strong overall market. Let me now walk through the drivers of our Q1 net revenues. As I mentioned, volumes grew by a remarkable 3.6%, including oral. Pricing contributed plus 5.5 points of growth primarily from combustibles, as well as pricing of around plus 3% on HTUs. Smoke-free category mix added plus 3.1 percentage points to the top-line, reflecting the higher net revenue per unit of IQOS and, to an even greater extent, ZYN. Oral smoke-free product overall boosted our organic net revenue growth by plus 2.2 points, showcasing its role as a meaningful accelerator. To report a positive contribution from our VEEV e-vapor business which, while still small in the context of the group, delivered good revenue growth. As in 2023, there was a negative geographic mix within our combustible business as lower margin markets, often without smoke-free products, grew faster; and smoke-free products accelerated cigarette declines elsewhere. The positive category mix impact of smoke-free products, overall volume growth, and pricing are the three enduring engines of our transformation and growth. Focusing now on the key dynamics of our Q1 profit delivery, smoke-free gross profit grew by an impressive plus 38% organically, on top-line growth of 25%. This reflects the very strong performance of U.S. ZYN and the growth and scale effects of IQOS, including manufacturing productivities. This strong underlying acceleration was amplified by only a few percentage points due to HTU shipment phasing. Gross margins expanded substantially for both heat-not-burn and oral nicotine, and by a striking plus 600 basis points organically for smoke-free overall, which made up close to 39% of total gross profit, an increase of plus 6 percentage points versus prior year. Combustible organic gross profit growth was notably improved and exceeded our expectation at plus 2.3%. Gross margins were also better-than-anticipated, leading to an improved full year outlook. Resilient volumes, strong pricing and manufacturing productivities more than offset the continued cost pressures in the category, geographic mix, and the impact of IQOS cannibalization. As previously flagged, cost increases in leaf, wages and certain other inputs carried over into 2024, and these should ease next year. We were also impacted by around $30 million of costs from implementation of the EU Single-Use Plastics Directive, primarily on cigarettes. A key feature of Q1 was strong operating income margin expansion. Gross margins increased organically by 150 basis points and by 80 basis points including currency. This reflects excellent expansion within smoke-free products, their growing weight within our business at higher margins, and the better-than-expected evolution of combustibles. These factors, combined with productivity savings, significantly outweighed the unfavorable technical dilutive impact of third-party manufacturing in Indonesia, which equated to 30 basis points in the quarter. For SG&A costs, currency-neutral growth of only plus 1.4% drove 220 basis points of organic margin expansion. This benefitted from our resource allocation and prioritization programs, including the delivery of approximately $160 million in gross cost efficiencies across COGS and SG&A towards our $2 billion target for 2024-2026. Although the Q1 margin impact of SG&A cost evolution including currency was small due notably to Egyptian Pound transactional currency, we continue to target SG&A progression below top-line growth for the year. We expect higher organic SG&A increases in the remainder of 2024, notably reflecting investment spend phasing, which was favorable in Q1. The combination of these factors powered a remarkable plus 370 basis point expansion in our organic operating income margins, and plus 90 basis points including currency. This exceeded our expectation and we are now raising our full-year operating income growth outlook, as I will come back to. Taking another lens on adjusted operating income margins by geography, we see broad-based global momentum with all regions delivering strong organic progress. In dollar terms, margins expanded in every region except the South and Southeast Asia, CIS, and Middle East Africa region, mainly reflecting the transactional currency impact of the Egyptian pound and the technical dilution in Indonesia. Indeed, excluding these factors, this region grew margins at a very similar rate to the group. Moving to IQOS. With ILUMA now widely launched, PMI HTUs continue to strengthen their position as the second largest nicotine 'brand' in markets where IQOS is present. PMI HTUs now exceed the 10% market share milestone on the prior basis excluding Indonesia, which we now include following broader commercialization in the market. Our HTUs are the number on nicotine 'brand' in 11 markets, and as shown at CAGNY, IQOS net revenues have surpassed those of Marlboro. Focusing on IQOS in Europe, Q1 HTU share increased by plus 0.9 points, also crossing the 10% regional share milestone for the first time. While still early in many markets, the growing availability and uptake of ILUMA is a key driver and we are seeing a strong acceleration in a number of historically slower-growth markets. Adjusted IMS volumes continue to exhibit robust sequential growth and reached a record high of 12.6 billion units on a four-quarter moving average. This reflects year-on-year progression of plus 9.4% in Q1, with excellent growth in Greece, Portugal, Germany, Spain, UK and the Netherlands. Growth was slower in certain Central European markets such as Poland and Czech Republic, where increased economic pressures and price-sensitivity are visible. We continue to evolve our portfolio in these markets under the recently-launched ILUMA system to drive further growth. Excluding Ukraine, where growth was absent, adjusted in market sales grew double-digit. As anticipated, the 11 markets so far affected by EU characterizing flavor restrictions saw an impact in line with our total region estimate of around 2 billion sticks for the year. Consistent with similar past situations, we observe an initial consumer adjustment followed by a reversion of growth rates to previous levels. We have not seen meaningful shifts towards e-vapor or competitor heat-not-burn products, and we expect the structural growth of IQOS to fuel continued HTU progression over the rest of the year. The strong fundamental progress in the region is highlighted by the expansion in key city offtake shares. Very strong gains in cities with already high IQOS adoption, such as Lisbon, Rome, Athens and Budapest, demonstrate the potential for further growth at the national level. The recent acceleration in London, Madrid, Munich and Amsterdam is also very promising for the IQOS brand in these markets and for Europe overall. In Japan, the adjusted total tobacco share for our HTU brands increased by an excellent plus 3.1 points to 29.3%. Adjusted IMS volumes increased by plus 13%, maintaining the rapid progress of recent quarters. Such impressive growth in a market with already-high category penetration is a clear testament to the sustainable growth potential of IQOS around the world. In connection with IQOS' strong brand equity and commercial footprint, we are fostering growth through continued innovation on both devices and consumables. In March, we launched the latest IQOS device ILUMA i in direct channels, with national expansion ongoing. We remain laser focused on innovation. Our innovation in consumables has included a number of new variants and taste experiences on the premium TEREA brand. As shown by the offtake data on this chart, this has helped TEREA to continue growing Japan share at the same time as mainstream-priced SENTIA. This successful strategy of broadening consumer appeal with different price tiers while reinforcing and growing the premium line-up is a good illustration of how our IQOS business is evolving across markets as the category continues to grow. The potential of the category is clearly demonstrated by the performance in Tokyo. As shared at CAGNY, heat-not-burn category volumes surpassed combustibles in January and have continued to grow since then. Led by Japan and Korea, the East Asia & Australia region reached almost two-thirds smoke-free net revenues in Q1. While somewhat flattered by shipment timing, this clearly demonstrates the path forward for the broader company as we strive towards our ambition of becoming substantially smoke-free, surpassing two-thirds by 2030. Outside of Japan and Europe, we continue to see very promising IQOS growth across the globe, including low and middle-income markets, as highlighted by key city offtake shares. A notable call-out is Indonesia, where we have expanded commercialization to targeted areas in new cities and introduced TEREA clove variants catering to kretek taste preferences. We have witnessed an uplift in user growth, and now have over 150,000 estimated IQOS users in the country. Our city offtake share in Urban Jakarta is one indicator of this, with plus 1.6 percentage point growth to 3.4% in a growing total industry. We are also pleased to report the reacceleration of IQOS growth in South Korea following the introduction of ILUMA. TEREA recently became the number one HTU brand as measured by national c-store offtake, and in Seoul IQOS market share grew by 1.8 points to 12.8%. Egypt continues to stand out with Cairo offtake share up 1.3 points to 9.1% despite recent pricing, and we also see promising results in Malaysia, Morocco, Lebanon and the Balkans. While not shown on this slide, Saudi Arabia also had a promising restart with Q1 national offtake share of 1.3% following the resumption of IQOS commercialization in late 2023. In a similar vein to some of our European markets, the November launch of ILUMA in Canada has coincided with an acceleration in key city growth, as shown here by Toronto. While still early days for ILUMA and in a very restrictive regulatory environment, this is clearly a positive development. Moving now to ZYN, where excellent U.S progress continued in Q1 with 70% sequential growth in 12-month rolling shipments. Impressively, category volume share grew for the fourth consecutive quarter to 74.3%, an increase of plus 6.9 points year-on-year and 1.3 points sequentially despite a $0.15 cent per can price increase in March. Retail value share also grew to 79.3%, highlighting ZYN's premium positioning and superior brand equity. This accelerated growth again reflects a broad step-up in nationwide store velocities and gradual distribution expansion as the category gains strong traction with adult nicotine users. As outlined at CAGNY, we remain focused on marketing ZYN responsibly to prevent unintended use. We support the FDA's efforts to ensure only consumers over 21 have access to nicotine products. Swedish Match follows a robust U.S. marketing code that prohibits using social media influencers, age-gates digital platforms to 21-plus and includes partnering with WeCard to help ensure retail sales only to legal-age adults. I'd like to spend a moment now on combustibles, where our portfolio delivered robust organic net revenue growth of plus 3.7% in Q1. This primarily reflects better-than-expected pricing of plus 7.9%, with a notable contribution from Germany, and stepped-up pricing in Egypt. The pricing environment remains favorable, and we now forecast a full-year increase of 6% to 7%, with annualization effects lessening in H2. Our cigarette category share grew by plus 0.3 points in Q1. This includes positive contributions from Algeria, Poland, and Turkey, resulting in only a modest volume decline in a total cigarette industry which fell by 0.6%. Our global brands gained category share during the quarter, with Marlboro gaining plus 0.4 points. As previously flagged, our 2023 share of segment was flattered by competitor supply constraints in Egypt which may normalize this year. As I already mentioned, strong pricing in Q1 coupled with accelerated manufacturing productivities also resulted in a better-than-expected margin evolution. Now, let me provide an update on our latest innovation and expansion plans as we further accelerate our smoke-free transformation. As I covered earlier, we recently launched IQOS ILUMA i, our most innovative offering to-date, in Japan. The ILUMA i portfolio consists of three devices offering a range of adaptable new features. This includes the new touch screen on the device's holder which allows users to see experience-relevant information quickly and easily, as well as a pause mode so users can pause and resume their smoke-free moment where they left off. Initial consumer feedback has been very positive. Japan was the first market to launch ILUMA in H2, 2021 and we plan to gradually roll-out ILUMA i to more geographies over time. As shown in our Japan and Indonesia performance, consumable innovation on the ILUMA platform is also critical, as we broaden offerings across markets. LEVIA HTUs, which contain nicotine but no tobacco leaf, were launched nationwide in the Czech Republic and Romania in Q1 with promising initial results. More markets are planned later this year. DELIA, our new mainstream-price brand for HTUs, was rolled out in Switzerland, Hungary, and Lithuania. In the U.S., we continue to prepare for the first consumer pilots in select cities with the IQOS 3 system. As mentioned previously, the commercialization will be initially limited in scope and will be focused on direct activation of select legal-age nicotine users in a few cities, allowing us to experiment with different elements of the commercial model. The main purpose of these consumer activations is to fine-tune our approach in anticipation of the at-scale launch of IQOS ILUMA, following authorization from the FDA. The international expansion of nicotine pouches remains a key focus, notably for ZYN as the world's leading brand. We have launched or relaunched in 11 markets so far, with more planned later this year. In e-vapor, our focused strategy for VEEV is showing very good early results. Positive consumer feedback is translating into promising repeat-purchase and conversion rates, and we are on a path to profitability in H2. This brings me to our outlook for 2024. With unparalleled smoke-free volume momentum, best-in-class pricing and expanding margins we are raising our full year currency-neutral growth forecasts. This strong pricing, combined with positive smoke- free mix and efficient cost allocation also helps us to mitigate currency headwinds and should allow us, at prevailing rates, to deliver on our objective of robust growth in dollar terms. Given continued ZYN volume progress, we are increasing our U.S. shipment forecast to around 560 million cans. We have further accelerated our capacity expansion plans to support this additional step-up. We continue to target strong growth in both adjusted IMS and shipments of IQOS HTUs, and to reach close to $15 billion in 2024 smoke-free net revenues at prevailing exchange rates. Factoring the increased ZYN shipment forecast and a strong pricing outlook on both combustibles and smoke-free products, we are increasing our organic net revenue growth forecast to plus 7% to plus 8.5%. In addition to higher revenue growth, we expect accelerated organic margin expansion. This is strongly driven by a significant expected uplift in our smoke-free gross margin due to IQOS scale effects, ZYN mix and accelerated manufacturing productivities. It also includes organic gross margin expansion in combustibles, where we had previously assumed a negative development. In addition, we are focused on delivering further SG&A efficiencies while continuing to invest in smoke-free growth. As a result, we are raising our organic operating income growth forecast to plus 10% to plus 12%. Accordingly, we are raising our forecast currency-neutral adjusted diluted EPS growth to plus 9% to plus 11%. This translates into an adjusted diluted EPS range of $6.19 to $6.31, including an unfavorable currency impact of $0.36, at prevailing rates. The increased forecast headwind is primarily explained by the devaluation of the Egyptian pound and recent weakness in the Japanese Yen. As I mentioned, we are taking pro-active actions to mitigate the incremental impact. We expect full-year gross and OI margin expansion, in both organic and dollar terms, at prevailing exchange rates. This includes organic expansion in both H1 and H2. After the excellent Q1 performance, we expect a strong H1 overall with organic net revenue and OI growth around the high end of our full year ranges. For Q2 specifically, we assume HTU shipment volumes of 34 billion to 35 billion and continued strong volume growth from ZYN. We forecast currency-neutral adjusted diluted EPS of $1.50 to $1.55, including an unfavorable currency variance of $0.14, at prevailing rates. With regard to our balance sheet, deleveraging remains a key priority. We continue to target a 0.3x to 0.5x improvement in our net debt to adjusted EBITDA ratio in 2024, driven by profit growth and strong cash flow generation. We also continue to target reaching around 2x by the end of 2026 and will consider buybacks once confirmed we are on-track. Now switching gear. As this quarter coincides with the publication of our 2023 Integrated Report, I would like to welcome Jennifer Motles, PMI Chief Sustainability Officer, to share an update on our sustainability progress. Jennifer, over to you.
Jennifer Motles: Thank you, Emmanuel. I'm very pleased to be joining today's earnings call. As Emmanuel mentioned, our sustainability transformation and business strategies are one and the same. We're focused on creating value for the long term, where generating shareholder returns requires us to deliver on transformation, and delivering on transformation requires us to deliver on sustainability. As shown in our recent results, our product transformation fosters profitable growth and short, medium, and long-term value creation. However, our transformation also means reshaping both our value chain and how we engage with society. As we venture into new product categories, we actively collaborate with different stakeholders and advocate for regulatory frameworks that can accelerate industry change and end smoking. Business transformation is a company-specific journey, which sustainability reporting standards and frameworks often fail to adequately capture. To help illustrate our progress towards achieving our smoke-free purpose, we regularly report our business transformation metrics, a bespoke set of financial and non-financial KPIs. Some of them were already presented by Emmanuel in our financial results. Others you can see here. For example, the growing proportion of commercial and R&D spend on smoke-free products demonstrates the allocation of resources away from our legacy business and towards replacing cigarettes with better alternatives. As another example, increasing the availability and access of adult smokers around the world to smoke-free products are two key pillars of achieving this replacement. As our geographic expansion continues, low-and middle-income markets now make up 47% of our market presence. These metrics, together with our overall performance for 2023, can be found in our latest integrated report published last month and available on our website. It is a comprehensive document covering our most important sustainability topics, starting with our products. The report highlights progress on our continued expansion of smoke-free alternatives across categories and geographies, as well as social and environmental programs deployed with and in parallel to these products in support of sustainable value creation. This includes responsible marketing and sales practices, youth access prevention programs, and efforts to reduce post-consumer waste. Further, it highlights our progress on improving the quality of life of people in our supply chain, decarbonizing our operations and value chain, and preserving nature. We're also very pleased with the continued recognition of our sustainability performance and our robust reporting. To highlight just a few from 2023, PMI was included in the Dow Jones Sustainability World Index for the first time and for the fourth year in the DJSI North America. In addition, PMI was the only U.S. company to obtain a AAA rating from CDP. More than 20,000 companies worldwide participated in this rating, and only 10 obtained this prestigious recognition. Notably, for investors in parts of Europe, but also in ESG or sustainability-themed funds in the U.S., we're subject to sector exclusion policies because we're a tobacco company. It is clear that excluding companies or sectors from the consideration set does nothing to address the underlying reasons for the exclusion, which in our case would be the harm linked to combustible tobacco use. Many funds that may be excluding tobacco on ESG considerations will still own stocks in other consumer sectors, despite many of these companies not having comparable harm reduction strategies in place to address the impact of their products. As we transform our company away from combustible and work to end smoking at a societal level, we welcome the engagement and challenge of investors to help us accelerate this critical shift. Thank you. I'll now turn it back to Emmanuel.
Emmanuel Babeau: Thank you, Jennifer. I will conclude today's presentation with some key messages. Our excellent IQOS and ZYN volume momentum, best-in-class pricing, positive category mix and stepped-up cost efficiencies put us on track for a strong 2024, with accelerated top-line growth and margin expansion. Following an exceptional and better-than-expected start to the year, we have raised our full year currency-neutral growth forecasts. Critically, we are also focused on delivering performance in dollars. We are taking measures to mitigate currency headwinds through pricing, accelerated manufacturing productivities and judicious resource allocation to prioritize growth investments. Our 2024 outlook places us firmly on track to deliver our 2024-2026 CAGR targets. Beyond 2026, we have further exciting opportunities to grow our smoke-free business as we progress towards our ambition of being substantially smoke-free by 2030. Finally and importantly, our strong growth outlook and highly cash generative business underpins our ability to deleverage while maintaining a steadfast commitment to our progressive dividend policy. We look forward to further rewarding our shareholders as our transformation delivers sustainable growth. Thank you and we are now very happy to answer your questions.
Operator: [Operator Instructions] Our first question comes from Matt Smith with Stifel. Your line is now open.
Matt Smith: If we start, the first quarter, it was a strong start to the year. You noted a better revenue and margin performance supporting your ability to raise the outlook for both organic revenue and constant currency EPS. From a high level on a constant currency basis, the first quarter EPS was about $0.20 ahead of your 1Q guidance, and you raised the full year outlook somewhat below that. Can you talk about unique benefits in the first quarter that may have changed the timing through the year? Or how are you viewing the rest of the year different now in terms of the fundamental environment or investment level?
Emmanuel Babeau: Sure, Matt. I'm happy to explain why some of the bits, but only part of it, of course, because we started, as I explained in my prepared remark, the year in a very strong manner, in an underlying manner. But in addition to the very strong momentum that we are experiencing, indeed, there was around an additional 1 billion HTU stick because of Red Sea. So that has been a plus in Q1, and we expect that to reverse later in the year for the time being. So that's one element that is important. We may have been helped a bit by some volumes on combustible, but it's probably more marginal. And at the scale of the combustible business, it's probably smaller. And then the other element, of course, is the SG&A evolution, organically 1.4% increase only. We want to grow organically revenue faster than SG&A, but of course, we will have the 10 points of difference that we've been experiencing in Q1. So that will also reverse partially in the rest of the year as we are coming with some phasing on commercial actions and marketing, advertising later in the year and starting in Q2, where we will have more SG&A. So I think that with that, you have the key element that has been adding to what was, as I said, very strong momentum anyway in Q1.
Operator: Our next question comes from Bonnie Herzog with Goldman Sachs. Your line is now open.
Bonnie Herzog: Emmanuel, I wanted to maybe ask for a little bit of more color on a point you made about or at the end of your script regarding currency headwinds and how you're hoping to mitigate these headwinds. You highlighted pricing and productivity savings, et cetera. So maybe just provide a little bit more color on those, I guess, levers if you can pull them and maybe why you're more optimistic going forward, given the never-ending currency headwinds since it continues to impact your business. I think that would be helpful.
Emmanuel Babeau: Sure, Bonnie. Happy to share our view and what we're doing on that one. So we said it at the beginning of the year and then we're at CAGNY, we want to deliver performance in dollar terms. And therefore, that means that even when we have another significant ForEx headwind and, you know, some of that, I mean, we have in Q1 actually $0.06 coming from the Egyptian pound that won't be there next year. So that's not something that's going to stay with us. So it's a kind of one-off negative impact. But we want to deliver robust growth in dollar terms. So in order to deliver that, we have two big levers, I would say. One is on price. And to be clear, when we talk about price, it's, of course, in the countries where we can see some devaluation, but not only. It's really across the board. How can we push the boundaries and push, to the maximum of the limit, the price increase? Well, we think that we're doing in a way that is not necessarily taking a big risk on market share. But we are clearly here and notably on combustible pushing on price increase. So that's something that we can do. That is taking into account a certain economic environment. And in the current environment, we are doing what we think is optimized and the best we can. Of course, if there was some more depreciation, more devaluation, we would reconsider whether more action can be done. And then on productivity and on cost efficiency, that means really accelerating everything we can do on productivity. And we are working across the board. It's, of course, on procurement. It's on optimizing the manufacturing footprints. It's on logistic. I mean, it's on everything where we can generate extra saving and playing with this environment of a strong dollar. And then on cost allocation. I mean, of course, we are working permanently as part of our 2 billion saving program on plans to be simpler, to generate efficiency, to work in a more efficient manner. So we do that. We try to accelerate that. Here again, we're trying to do things faster. And we are also making sure that when it comes to investment allocation, we really prioritize on what is having the biggest and strongest and I would say clearest return, which is allowing us to also generate some profitability improvement to partially offset the negative ForEx. So that's really everything that all the action that we are doing. We're not saying we can offset any kind, of course, of ForEx environment. But I think our Q1 numbers and the outlook for the year is showing that we have some good capacity to mitigate to a very significant extent the ForEx impact.
Bonnie Herzog: Okay. That is helpful. And then I just had a quick question, if I may, on ZYN. We're actually hearing about some out of stocks in the U.S. from some of our industry trade contacts. So, maybe hoping for a little more color on this and how much it might have impacted volumes in the quarter. Also, curious if these issues are related to maybe specific production issues or more related to the strong demand and ultimately when you expect them to be resolved. Thank you.
Emmanuel Babeau: Thank you, Bonnie. This is very much the latter. I mean, you can imagine when a business is growing 80% and we are growing 80%. That is indeed creating some tensions on the supply chain without any doubt. I'm not sure that out of stock is still the proper word, given where we are today. I think that, maybe sometime a reference is not going to be available. Not everything is going to be is going to be is going to be fully available in the range at a certain point in time. But look at what, the Nielsen are telling us on Q1 and our volume. I mean, we seem to be growing fast and it's difficult to see any kind of impact coming from restriction on availability. As we said, we are working very hard to maximize our capacity in this fast-growing environment for ZYN. We are comfortable, of course, with our capacity to deliver around our 560 million can. That is not the limit that we are putting, of course, in terms of production capacity. But we are in this phase of adaptation to this strong growth and fast-raising demand. I think so far, maybe with some tension, but with limited impact on volumes.
Operator: Our next question comes from Owen Bennett with Jefferies. Your line is now open.
Owen Bennett: First question on heated. Can you maybe talk a bit more about the contribution from newer markets? Is this trending in line with expectations or do you see potential for upside here? Because some of the trends you called out sound very encouraging. I'd also love an update on bonds in the latest with this, if possible. Thank you.
Emmanuel Babeau: Yes, with pleasure, Owen. So I think we see and you said it, I've been elaborating on the number of markets where we see very interesting trajectory for new market. We've been speaking about Indonesia. We could have been speaking in addition to all the markets I've been covering. I could have been speaking about Mexico, where we have also a nice acceleration and we are just launching ILUMA. So the good thing is that we're not relying on one or two names, but we start to have a growing team of new markets where we see clearly, IQOS getting traction and increasing its stake. First, as always, in the big cities. That's where in many of these countries we have the biggest potential. But that's, I would say, happening in line with expectation. And as I said, we expect even a further acceleration in the second part of the year. We believe that then Taiwan will also start adding to the flow of this new market. So it's in line with expectation and clearly coming with a great potential. And as always, IQOS being perceived as, in many big cities rapidly as an aspirational product, which is extremely positive for the future and the brand franchise that we're going to be able to build there. Then on top of this new market and the IQOS trajectory in this new market, we have indeed bonds that we plan to develop in the future. We've been making the test, as we explained, in the Philippines and Colombia. We are working on the result. We are making a number of adjustments and will come with a detailed plan in the coming quarters. To make sure that we come with a product that has all the ingredients, all the features to be a great success. And we're working on it. That's going to be really important in all this market, because we know that the affordability here is different. To come with a portfolio that is segmented and where IQOS will have a role to play. But we need to also come with the rest of the portfolio bonds in order to cover this market.
Owen Bennett: Thank you. Very helpful. And I just add one more. I want to talk a bit more about Vape. And what sort of volumes do you think you can do here for the year? And if I heard you right, you said you'll be profitable already in H2, which would suggest volumes have been really healthy already. And just any kind of commentary on which markets you're seeing the strongest traction so far?
Emmanuel Babeau: Sure, Owen. Of course, there is modest versus IQOS and ZYN in terms of impact at the group level. And we stick to our strategy, which is we don't want to be big in vaping if it's to lose money. We want to be really going with VEEV in markets where we are having the right commercial impact where VEEV can make a difference and in a profitable manner. Indeed, the year started well in terms of volumes. We have this outlook of moving into positive bottom line for VEEV in the second part of the year, which would be very good news. And we are prioritizing markets where we have the critical mass, where I would say the nature of the vaping market is interesting. And we are developing today very nicely, I would say, in markets such as Italy, Czech Republic, France, UK, developing in Canada. These are markets where we can reach, if you want, the size, the mass and where we have the impact to make our vaping business successful and profitable.
Operator: Our next question comes from Faham Baig with UBS. Your line is open.
Faham Baig: I have a couple as well, both on heated tobacco. Firstly, could I get your view on any implications that you see from the recent EU court ruling on the supplementary excise tax in Germany to any other of the European countries? And when are you expecting a decision from the finance court in Dusseldorf? And the second question, please, is again on heated tobacco. Clearly, pricing has stepped up over the last couple of quarters. How are you thinking about balance between price and volume growth? And could pricing be higher than the original guidance of low single digits?
Emmanuel Babeau: Thank you for the question. So, first of all, on the German situation, I mean, yes, they've been asking for the view from the European Court of Justice. But it's a purely German question whether the way they've been implementing their extra tax was according to EU law or not. So there is no consequences for other countries. It's really a German question due to how they implemented this increase in the tax. So that's what it is. On the final decision, because as of today, that would be the decision from the German court. I have to say, I don't know when we will know more, I guess in the coming months, obviously. But I'm not going to be able to be more specific on the timing of the Dusseldorf court to make the decision. There are a number of steps still needs to be taken before they get there. So that will be for the coming months. But given where we are today, I'm not able to tell you when they will make the decision. Regarding your second question on price versus volume. So we said, and I'm going to stick to that. Yes, we believe that we can increase price more low single digits or not at the level of combustible on is not burn. Again, I think we are very clear on the very positive impact coming from the growth in volume from heat-not-burn our business. They're coming with a much higher per stick revenue. They're coming now with a higher gross margin rate, even at the level of just the consumable. It's significantly higher than for combustible as an average for the group. So that means that's really growing volumes is the name of the game for us. That's where it makes sense. Now, on top of it, given the very strong franchise of IQOS and the attractiveness of the brand, we are able to increase price without putting in danger the volume. But that's really the way you should be looking at it for us today. It's very much a play on maximizing the volumes.
Operator: Our next question comes from Gaurav Jain with Barclays. Your line is now open.
Gaurav Jain: So two questions from me. So one is, just conceptually. So, let's take a city like Tokyo where the heated tobacco category share is now 50% plus. So one can argue that by increasing the premium cigarette prices, which haven't increased now in two years, you can accelerate the down trading to IQOS. This will accelerate IQOS volume growth. This will also accelerate your dollar EPS growth out of Japan. So why wouldn't you do something like this in cities and countries where heated tobacco and IQOS becomes the dominant form factor?
Emmanuel Babeau: Thank you for your question, Gaurav. Look, I'm always very cautious, of course, as you can imagine, on commenting any kind of price strategy. So don't expect me to enter into any kind of detail. But conceptually, it is clear that as we build leadership in the category, as there is a growing adhesion from the nicotine user to heat-not-burn, there is a capacity for ongoing premiumization and more price increase without any doubt. But as I said, and as I explained, with the previous question, we believe that today still it's very much about maximizing the volumes. And that's what for us is important, of course, coming with great gross profit per stick and great contribution. So I'm certainly not closing the door to more price in the future. But I think I've been clear on what our priorities are. Having said that, as you know, in Japan, we need to have an agreement from the authority to increase the price. So I think it's something that is also sometimes regulated. So it doesn't mean that we have all the latitude that we would like to enjoy on the topic. So that's on the long-term. It is clear that today, as we've been discussing that already, you have the IQOS consumable that are positioned, even at some discount versus Marlboro. That gives an idea of the kind of increase that we'll be able to reach in the future, probably without too much, I would say, issues over time. Once again, it doesn't happen in one go. But as I explained for the time being, maximizing volume is the name of the game. And it's coming with, I think, what the Q1 is illustrating in a very bright manner, a very, very powerful mixed impact on our financial performance.
Gaurav Jain: Sure. And my second question is on Russia. So, IQOS volumes in Russia grew, which is surprising, given that you do not invest in IQOS there anymore. So how should we -- so first of all, can you just remind us the contribution of Russia on your EPS? And how should we think of Russia IQOS shipments for this year?
Emmanuel Babeau: Look, on Russia, you have to be a bit cautious on the shipment that you see. And that does not necessarily fully reflect the consumer offtake. You can have some movement from the surrounding countries. So I think we have to be cautious. So Russia is a market that has not been -- if I look at the past, I'm not sure that one quarter is enabling us to conclude anything. Since the beginning of the war in Ukraine, Russia has been a market that has not shown, unfortunately, any kind of meaningful growth. Today, we have no reason to believe that suddenly Russia is going to become a growth market, because nothing has changed fundamentally. And that's a country that has been impacted, of course, by currency depreciation that has been impacting the weight in the EPS. So I think that we were referring to 7% to 8%. I think we'll have to revise. And I don't have the number top of mind for 24 on the outlook, but that was the kind -- it was around 9, 10. And I think with the currency, it has been losing a bit of weight in the overall performance of the company.
Operator: Thank you. Our final question comes from Callum Elliott with Barclays (sic) [Bernstein]. Your line is now open.
Callum Elliott: So my question is actually following up on Bonnie's question on dollar growth. In 2013, I think your dollar EPS, Emmanuel, was $5.40 per share. So you've compounded dollar EPS growth at about 1.5% percent over the subsequent 10, 11 years. So best-in-class organic growth and probably worst-in-class dollar EPS growth over that 10-year period, which is really striking given that 10 years captures the whole of the creation of this IQOS business that has been quite remarkable. So my question is, you obviously outlined a number of initiatives in answer to Bonnie's question of how you hope to drive dollar growth. But maybe you could sort of double back on those explanations. Which of those are actually new and haven't been present over that sort of past 10-year period that could have been helping you over that past 10 years? Because it struck me in those explanations that it sounded like things like pricing, et cetera. Those have all been around for the past 10 years and haven't helped you offset the FX. So is there anything you can tell us that's new that should give investors confidence that if FX headwinds persist, you are able to drive dollar growth for your business?
Emmanuel Babeau: Thank you for your question. Well, first of all, I guess you are assuming that the ForEx headwind will persist in the coming years, which I think nobody can really say. We know that currency can be facing cycles and that it's true that the last 10 years have been about a strengthening of the dollar. We've been knowing other cycles where the dollar was more weakening versus at least other hard currency. So nobody knows what's going to happen. I think what we are saying and thank you for giving me the opportunity to maybe repeat and clarify that we are today in a position to put together very strong growth before ForEx. And I think you are seeing with the guidance for '24 that we are obviously coming still with a very dynamic top line, very much accelerating operating income growth. We are targeting a double-digit before currency impact now in 2024. And on top of that, we are going to price and in an environment that today we see positive for pricing, certainly with the fact that pricing on combustible is something that we can use now very tactically. We know that CC is not our future, so we can certainly use pricing very tactically in order to boost performance. We also are coming with some price increase at the level of HTU. We have some price increase on ZYN as well. So we have globally a pricing environment that looks attractive to us in the future. And then, when it comes to our cost, it is true that we've been investing a lot in the past years, and we've been reporting on all the action that we were having on investment across the board, in terms of innovation, in terms of science, in terms of R&D, in terms of manufacturing. Now is the time where, of course, we are reaching critical mass on smoke-free products. There are a number of things that we are doing that we can do more efficiently, a number of things that we've been learning and that we're going to implement in the continuation of our journey. So all that we believe is also giving us some very good ammunition and capacity to generate efficiency at a very high level in the future. So that's all the -- and they are quite important, quite numerous, all the levers that we own to deliver performance in dollar terms in the future.
Callum Elliott: Thanks Emmanuel, that's helpful. Maybe I can just ask a follow-up. So we have a number of U.S. consumer staples companies reporting this morning, and many of them face similar FX headwinds, sort of incremental FX headwinds over the past two, three months, as PMI does. And it's striking to me that amongst some of those companies, even a commoditized U.S. toilet paper company has done a better job this quarter of offsetting these incremental emerging market FX headwinds with sort of rapidly responding with incremental price increases to offset those headwinds. So I guess my question here is, you know, is there something structural in your business that's making it less agile in responding to these changes in FX relative to some of your other consumer staples peers outside of the tobacco space?
Emmanuel Babeau: Well, can I answer you that your question is highly speculative because you asked me to compare with other businesses that are obviously very different in, I guess, the way they invest, their outlook, what they have to do. We are building here a business that has a tremendous growth potential, so we're not going to, of course, limit all the initiative, all the investment that we must do in order to keep growing the business and extract the full potential that we have with our smoke-free portfolio. Maybe that's different versus the paper business you were mentioning. I frankly have no clue because I don't know what you are referring to and the specific situation. But I think it's difficult to probably compare businesses that are facing different potential, different trajectories. That would be my answer.
Operator: Thank you. This concludes the question-and-answer session. I would now like to turn it back to management for closing remarks.
James Bushnell: Thank you for joining us. That concludes our call today. If you have any follow-up questions, please contact the Investor Relations team. Thank you again and have a nice day.
Emmanuel Babeau: Bye-bye. Speak to you soon.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.